Operator: Good day, ladies and gentlemen, and welcome to the Sunrun Incorporated Q2 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Ms. Charlotte Coultrap-Bagg, Director of Investor Relations. Ma'am, you may begin.
Charlotte Coultrap-Bagg: Thank you. Good afternoon everyone and thank you for joining us. Before we get to begin, please note that certain remarks we make on this conference call constitute forward-looking statements. These include but is not limited to statements related to our financial and operating guidance and expectations regarding our business future growth rates and key operating metrics as well as our ability to raise capital, manage cash flow cost and liquidity, leverage our platform services and deliver on planned innovations and investments, in addition to expectations regarding the growth of the industry, macroeconomic trends and the industry's legislative and regulatory environment. Although these statements reflect our best judgment based on factors currently known to us, forward-looking statements by their nature address matters that are to different degrees uncertain and actual events or results may differ materially. Please refer to the company's filings with the SEC, including the Form 8-K filed with today's press release and our Form 10-Q for Q2 2016 which have a more inclusive discussion of risk and other factors that may cause our actual results to differ from projections made in any forward-looking statements. Our SEC filings are available on the Investor Relations section of the company's website and on the SEC's website. These forward-looking statements are being made as of today and we disclaim any obligation to update or revise them. If this call is reviewed after today, the information presented during this call may not contain current or accurate information. With that, let me turn it over to Lynn.
Lynn Jurich: Thank you, Charlotte. Good afternoon and thanks for joining us. We continue to believe that the long-term growth rate for the residential solar is 20% to 30%. Having been in this business for almost a decade, we have seen significant quarterly and even annual fluctuations above and below this range but the macrodrivers sustaining this level of growth are powerful and persist. We think that the reactions to recent results are too severe and are not appreciating the longer-term attractiveness of rooftop solar to consumers and its important role in building a modern energy infrastructure. The United States is accelerating its shift to clean energy. In 2015, new solar capacity in the U.S. exceeded that of natural gas, and in the first quarter of this year, solar made up almost two-thirds of new installed capacity. New York recently announced a new report Renewable Portfolio Standard of 50% renewables by 2030. In the Presidential race clean energy is a top three economic find. We know that technology will drive increasing consumer choice in energy and when consumers have choice they choose rooftop solar. Putting energy generation works most efficient by where it consumed creates the best outcomes to energy users and for the grid. New technology had access to our 100,000 fast and growing customer base will open up new business model. Retail electricity is a $400 billion annual market undergoing a true disruption through innovation and consumer choice. At the same time, I do also want to address a few things happening in the industry that are creating distorted year-over-year growth comparisons and short-term challenges in converting leads to interconnected customers. Sunrun has a strong operating plan in place to execute through this, but this is what we see happening across the industry. First, let's remember we're comparing this year's growth with last year's exceptionally fast growth. Our industry is now approximately twice as large it was only 18 months ago. Part of this exceptional growth was created by aggressive customer acquisition across the industry to capture customers ahead of the expected ITC expiration. Growth was further boosted by market openings like Nevada. As we previously discussed, from the start of the year, these drivers have reversed, having short-term headwinds. This is also set up a tough growth comp for the back half of the year. Second, homeowners are smart. They're smart enough to know that they have a better option than utility electricity and they are smart enough to want to understand how changes and rates will affect them before making a long-term purchase commitment. The evolution of NEM with time of use rates is going to power industry growth in California but it requires significant customer education in the early days. This is hard without clarity around the ultimate rate structure and it's temporarily challenging customer conversion. We do have confidence that consumer demand is there and will convert when there is more certainty. Here is one example supporting this thesis. One of our platform businesses is the number one digital lead generator for the industry. And in the month of July, we are seeing 40% year-over-year increase in the number of unique homeowners who are interested and qualified for solar in the state of California. Furthermore we estimate that there are five times more solar ready homes today in California than are currently installed. And this factors in FICO, shading, roof-face and energy bills. It also doesn't include new housing starts, improving panel efficiencies, lower cost, time of use plus storage, electric vehicles which had load equal to two kilowatts of panels and more, and the future opportunity to bring solutions to the rental market. We remain bullish on California growth and unit economics. Third, there is significant attractive growth beyond California. California and Hawaii homes use less electricity on average, thanks to climate inefficiency and have lower energy spend per household than almost anywhere else in the country. This seems that in other states system sizes are often larger which further reduces unit cost. At solar, these utility rates on a per unit basis in a growing number of states we expect to see attractive economic and strong additional growth and demand. Fourth, over the years we've seen high cycles around different financing mechanisms for solar as this asset class matures. Sunrun has remained steadily focused on the most creative long-term products that offer customers the most value. Ed will take a few minutes to review the value of leasing versus owning but the more important business model evolution is being overlooked in this narrow debate of loan versus lease. Residential solar product solutions can change far more rapidly and to be deployed locally at much smaller scale than competing utility energy offerings. Connected home energy management, storage, and other advanced technologies, will be bundled to add greater value than solar alone. And these are best accessed in a monthly billing model with a dedicated service provider. For customers who want to purchase systems we will go back and add product and wraparound services, but we believe the best customer value will continue to be delivered through a long-term and continuous relationship with a trusted service provider. This technology shift will continue to differentiate the national service providers from local installers who won't have the scale and resources to offer broader smarthome energy management services on their own and putting scale solutions to the grid. The residential solar industry is repositioning to more stable and healthier model that sets the stage for sustained long-term value creation, especially during this time of industry transition, Sunrun has an opportunity to differentiate ourselves through consistent, focused execution, and to deliver near-term cash flow positive growth. Even after pruning certain activities that were not on a near-term path to meet this criteria this year we will increase our market share and expect to deliver growth in deployment of 35%. Underlying that growth is a strong performance from our direct business with the first half growth rate of 160% and an expected back half growth rate of approximately 60% year-over-year excluding Nevada. We expect to generate customer value for the dollar per watt or approximately $7,000 per customer in the back half of the year. We are well on our way with our Q2 results of $51 million in aggregate net present value creation through deployments of 65 megawatts and NPV of $0.94 per watt. We believe we can achieve these goals in the current market environment. With this enormous opportunity ahead of us, Sunrun's strategy to deliver the industry's most valuable and satisfied customer base has four pillars. First customer value. Our customer experience is our proudest achievement, we've created a high quality sales and installation experience and a strong value proposition that pays off for decades, with predictable customer payment performance, referrals, smooth home transfers, and low customer care cost. We believe our customer net promoter scores are industry leading. The quality of our assets continues to support our low cost debt which has some of the most attractive terms in the industry. Second, drive NPV. We have always prioritized unit level NPV and becoming cash flow positive and this does not change. Third, platform leverage. Our channel business continues to offer way to reach incremental customers that meet our targets. In the current environment where industry leaders are spending less on brand and customer awareness, local installers are seeing moderate share gains. We have been able to take advantage of this dynamic and acquire customers from our leading distribution channels local seller partner. Our platform services business leverages our infrastructure investment across other industry participants as well as strategics who have large existing customer base and find the residential solar industry attractive. Fourth, a low risk non-recourse capital structure. We have a strong capital structure. Our strong asset performance enables durable access to project finance that turns our customer net present value into upfront cash proceeds with predictable and attractive advance rate. Our value creation goal is simple; our upfront proceeds surpass upfront cost and realize the remaining net present value over time. Finally, we continue to invest in innovation. Hawaii is the first market with a concrete solar plus stores savings proposition and we are seeing strong consumer interest in our BrightBox offerings and are in position to scale it. We have multiple battery suppliers lined up for next year and tax equity funding to support the offering. With storage, you will take the same approach that has served us well with modules and inverters. We'll stay agnostic to selecting the best and most cost effective technology providers, combine technology with financing to offer a valuable knowhow for package that earns customer trust, bring this to market through a range of channels including national consumer brands, and deliver an exceptional experience. Rather than focusing on hardware or a single distribution strategy, our anchor for innovation will continue to be the consumer and the value they seek from a better choice in their home service provider. I will now turn it over to Bob.
Bob Komin: Thanks, Lynn. In the second quarter, deployments were up 54% year-over-year to 65 megawatts. Our cash and third-party loan mix was up slightly to 16% from 14% in Q1 and we expected to stay in this approximate range, mid-teens to 20% for the second half of the year. We believe this range is a reasonable representation of consumer preference. As Lynn described, we have a detailed action plan that has let us to pullback our level of investment in a few areas where we did not believe we had a clear and consistent near-term path to achieving our net present value goals. As we continue to drive down our cost and NPV targets can be readily met, the market growth opportunities will become a higher execution priority. Our channel partner strategy provides us with the flexibility to adjust resources to manage investment levels, cost, and respond more rapidly to changes in the market. We adjust this mix dynamically when and where we can reach incremental pockets of demand at our targeted NPV. We still expect the mix of Sunrun built deployments to increase in 2016 and our channel partner mix to decrease somewhat. However, we also continue to add or expand attractive channel partnerships especially as some of our competitors are finding access to capital to be more challenging. While we expect the trend to be a moderate decline in channel partner deployment mix to approximately 20% over time, the trajectory can fluctuate quarter-to-quarter since we do not manage to a mix target, we instead prioritize unit level margins and mutually beneficial partner relationships. For the rest of the year, we are projecting Q3 deployments of 72 megawatts and cumulative 2016 deployments in the range of 270 to 280 megawatts which is down 2% to 5% from earlier guidance primarily from reduced investment in less attractive channel. In Q2, total creation costs were $3.67 per watt, an improvement of $0.44 or 11% from pro forma Q1 2016 levels which excluded canceled bookings and costs related to our Nevada exit. Based on our progress in the first half of 2016 and looking ahead, we are increasingly confident we will meet or exceed the $0.65 per watt improvement to $3.46 total creation cost in Q4 2016 described in more detail on the last earnings call. Now let's look quickly at the components of creation cost in more detail. As a reminder, our cost stack is not directly comparable to those of peers because of our channel partner business. Blended installation cost per watt which includes both solar projects displayed by our channel partners as well as by Sunrun improved by $0.17 from Q1 to $2.80 per watt. Separately Sunrun built installed cost are $2.27 per watt, an improvement of $0.09 from Q1. Looking ahead, we see several favorable near-term trends. Equipment prices are falling from panel manufacturing over capacity. Lower cost string inverters that include rapid shutdown capability are becoming available and will allow us to replace much higher cost inverters for some application. Sunrun built installed growth rates have moderated from the incredible two to three times year-over-year levels we experienced over the last several quarters when we were a smaller business requiring less forward capacity investment. With these positive tailwinds, we believe that Sunrun built installation cost of $2 per watt is within reach in the next few quarters and is highly competitive with other solar peers. In Q2 our net bookings were 74 megawatts, up 21% year-over-year. In the second half of 2015, we and the industry experienced tremendous order growth driven by many factors including aggressively generation investment and sales leverage to pull forward demand due to the anticipated expiration of the investment tax credit in 2017. These factors drove the scaling of Sunrun built installation capacity to the two to three times prior year levels, which required investment to expand our branch network as rapidly as possible. During this period our bookings volumes began to increasingly exceed deployment capacity. As we've worked through this large increase in orders from the second half of 2015 through the first half of 2016, we've seen a somewhat lower rate of orders converting to deployment than in the past. This puts pressure on our first half reported net bookings, which included both newly originated business in the period and orders from all periods including earlier periods that were canceled during that time. While cancellations result from a number of factors, we believe, there were coupled that affected the conversion rate in the first half of 2016, which are temporary. The first is reduced customer urgency to complete a project since the ITT was extended. And the second is that we had longer cycle times in some of our newest and fastest growing market. Looking forward, we don't see these impacts continuing and we're also taking additional steps to improve our order to installation process. So we believe orders will convert at a higher rate. Also with more moderate industry growth expectation enabling a tighter matching of installation capacity with demand plus shorter cycle time, we expect deployments will again more closely track with the prior quarters' net bookings beginning as soon as next quarter. In Q2 our sales and marketing costs were $0.78 per watt, an improvement of $0.13 over Q1. We expect some continuing improvement in customer acquisition cost over time. Most importantly we're building durable, proprietary customer acquisition channels that increasingly enhance our competitive advantage. This includes the industry's leading digital regenerator, our 100,000 and growing satisfied customers who are creating a virtuous cycle of customer referrals, our national retail partnerships like Costco, and our unique platform capabilities that allow strategic partners to easily offer our services to their large customer bases. Next G&A costs per watt declined to $0.33 a $0.02 decrease from Q1 and will continue to improve as volume increases over the remainder of the year. We're tightly managing cost in this area, which have been largely flat for the last several quarters excluding transaction costs for project financing. Finally, when we calculate creation cost, we subtract the GAAP gross margin contribution realized from our platform services. This includes our distribution racking and lead generation businesses as well as solar systems we sell for cash with third-party loan. We achieved platform services gross margin of $0.24 per watt, an improvement of 100% or $0.12 over Q1. These businesses all have an outstanding quarter and their combined revenue grew to $77 million, an increase of 102% year-over-year. Their combined gross margin percentage also improved from 9% a year ago to 20% and we expect this to remain relatively consistent for the remainder of the year. After some headwinds in Q1 from our Nevada market access, our Q2 2016 NPV rebounded strongly to $0.94 per watt. And we remain on target to reach our goal of a dollar per watt in the second half of the year. With our higher project value and lower cost we generated $51 million of aggregate NPV in Q2. Q2 project value of $4.61 per watt was 2% above our expectation of approximately $4.50 per watt for this year. Importantly price increases earlier in the year have helped our expectation for project value per watt remains within a few percentage points of $4.50 for the second half. As a reminder, project value is very sensitive to modest changes in geographic channel and tax equity fund mix. Over the longer run, we expect project value will decline slightly, but cost should decline more. As we drive our creation costs down to levels consistently below upfront asset financing proceeds, we expect to become structurally cash flow positive. Now let me turn it over to Ed.
Edward Fenster: Thanks Bob. I want to open by briefly addressing the relative attractiveness of loans and leases from a first principle value perspective. This analysis excludes the many softer customer benefits of leases such as their paper performance nature. There are more tax benefits available to commercial owners like Sunrun than to homeowners who purchase directly. This means leases can be a better proposition both for lessors and for lessees. First, both the homeowner and the commercial owner today receive a $30 tax credit when purchasing a solar system for $100. As such, each pay $70 on a net basis. However unlike homeowners, a commercial owner receives an incremental tax benefit worth at least $6. This is because commercial owners are allowed to deduct $85 of basis for federal income taxes and $100 of basis from state income taxes. These incremental losses effectively make the tax credit for commercial owners approximately 36%. The benefit to commercial owner have accelerated depreciation add further to this advantage. Second, under current law, the relative tax advantages to commercial owners will grow in years to come. This is because the tax credit for homeowners steps down more quickly and has ultimately phased out in 2022. For example, in 2020, commercial owners will be able to claim a 30% tax credit under Commence Construction Rule while homeowners will only receive 26%. In 2022, commercial owners can receive a 22% tax credit versus zero for homeowner. Thereafter commercial owners would enjoy a 10% tax credit and homeowners zero. As such these systems provide more value today for both solar developers and for customers and this advantage should grow with time. Nevertheless loan systems likely provide more upfront proceeds to a developer than leased system. This is because loan companies fund the equity tranche in loan whereas developers fund the equity tranche in leases. The additional cash proceeds from loans are particularly attractive to cash constrained solar developers who may as a result push loans at a customer who might otherwise prefer a lease. Because we've stayed focused on what our customers want and we see continued demand for leases, we have not seen our lease versus loan mix change materially. We continue to plan to use our strong capitalization to ensure that we can provide the product that homeowners want. Moving on, I'm pleased to report that Sunrun's access to capital remains strong both at parent and asset levels. Over the last quarter, we increased our corporate working capital facility by $45 million to $250 million. This expansion was done on the same pricing as when we originally closed the facility just prior to our IPO. In addition our access to project capital remains strong. Principally, this is because our assets continue to perform excellently and our transactions perform as well. Over our nine year operating history, we continue to collect $0.99 for every dollar billed. We had thousands of homeowners move and we have on average retained over 99% of contract value in that process even when including challenging assignments such as foreclosures and bankruptcies. Homeowners who move into these homes need electricity and we can provide it to them at a discount. Finally, we size our transactions appropriately. All our senior debt facilities are generating at least 50% more cash flow than our non-recourse lenders require which is in all cases both above forecast and conservative. It's also true we sweat the details. For example, over the years, we have been careful to retain significant depreciation in our project finance transactions, with a federal net operating loss carryforward of $569 million at the quarter end, we believe it is not necessary to tax effect or retain value. We conservatively structure our debt transactions to include substantial principal amortization and to have longer dated maturities. We generally target five to eight year maturities, which mitigates refinancing risks and also provides potential upside. For our debt facilities that don't fully amortize before maturity, we target debt balances at maturity that are about 20% less than what credit agencies require today for a triple B or an investment grade credit ratings. We fix our interest rates based on the underlying customer contract not the term of the initial credit facility neutralizing the impact of any increases in interest rates. We also structure our transactions to ensure low cost debt. For instance, we believe our careful structuring is key to our choosing an interest rate, on our recently closed SREP credit facility that is more than 300 basis points below the closest market comparable. Thoughtful structuring have also contributed to our industry-leading debt advance rates and credit spreads. Our project capital availability is unchanged since last quarter. With runaway through the first quarter of 2017 for tax equity, and the second quarter of 2017 for debt, including executed tax equity term shifts. We continue to expect total finance proceeds for lease systems of approximately 70% to 75% of reported project value. Finally, I'd love to close by highlighting that our steady-as-she-goes strategy has allowed us consistently to add to our net earnings asset, which increased 50% over the second quarter of 2015. With that I'll turn it back over to Lynn for guidance.
Lynn Jurich: Thanks, Ed. In Q3 we expect to deploy 72 megawatts with our focus in the back half continuing to be delivery of a dollar a watt in customer net present value. We expect to deploy between 270 megawatts and 280 megawatts representing year-over-year annual growth of approximately 35% at the midpoint. This is a 2% to 5% reduction versus our previous guidance and should represent a market share gain. As we've stressed throughout all our earnings call, we will operate the business to cash flow and cost metrics required to optimize NPV for our shareholders and not just deployment. With that I'll open it for questions. Thank you.
Operator: Thank you. [Operator Instructions]. And our first question comes from Patrick Jobin from Credit Suisse. Your line is now open.
Patrick Jobin: Hi thanks for taking the question and congrats on the quarter guys.
Lynn Jurich: Thanks, Patrick.
Patrick Jobin: Hi, first question just on capital, how do we think about the advance rate progression in the quarter itself, and over the next few quarters. I found your comment interesting on reaching positive cash flow territory, just any more color on timing on that would be helpful?
Edward Fenster: Well let me, this is Ed, I can first tackle your question on advance rates. Over the coming quarters, as I suggested, we expect a reasonably steady advance rate of approximately 70% to 75% of project value. Over a many year extended period, we would expect those numbers to increase, but over the near-term we're confident in that projection. In terms of the timing of our becoming cash flow positive, we were not setting a target at a particular quarter. But you know, as Bob suggested, we're confident that as our cost continue to decline particularly faster than any reductions in project value that goal is within reach.
Patrick Jobin: Got it. And then just two questions, two follow-up questions. One, the biggest debate with investors is the discount rate is at 6.9% like you've highlighted last call; is it 8.2%, 8.3% which competitor has done in the back leverage type of transaction. Where do you think the market is today for the assets, I guess that's the first question. And then just a housekeeping item, should we think about the margin of system sales. So cash sales for systems sold to a third-party loan to approximate to 20% gross margins that you reported in the platform business or are there other gross margin drivers there from your other businesses that distort I guess the economics of cash? Thanks.
Bob Komin: This is Bob; I'll do the gross margin question first. So the answer is that historically for the other businesses not the cash system sales business, we've seen gross margin in and around 8% to 10% range on average. The 20% gross margin that we're seeing blended right now is driven a lot by the cash system sales mix. We think the gross margin can be in that range or potentially better overtime.
Edward Fenster: And Patrick to answer your other question, this is Ed, I think we continue to believe that be appropriate discount rate for leverage cash flow, meaning those that are junior to call it 65% to 75% debt advance rate is approximately 10%. That's generally in keeping with the unlevered discount rates that we've talked about in the past.
Operator: Thank you. Our next question comes from Stephen Byrd from Morgan Stanley. Your line is open.
Stephen Byrd: I wanted to discuss at a high level, the degree of competition that you're seeing; is it becoming more crowded or are you actually seeing the reverse in terms of folks pulling back or are you not seeing really any change in terms of the competitive playing field?
Lynn Jurich: I think we're seeing -- there are couple of things that are happening. I think it's been pretty steady, I mean nothing new to report in this quarter necessarily than previous quarters. There are different dynamics in our different businesses, one of the reasons why we like the channel business as a complement, is that it really does reach incremental customers. So we find that the buying behavior of people tend to be if I'm going with a local partner, excuse me, I'm shopping may be with a couple of different local partners. If I'm going with a national provider, I may begin to talk to a couple of national providers. So we reach more by having that channel partner outlet. And so as we've seen some of our competitors who also serve that market have some capital constraints and that has been an increasingly nice piece of our business almost to our surprise. Over the last quarter but it's going to persist in this segment of homeowner market. And then on the direct side, I think the competitive dynamic is fairly consistent.
Stephen Byrd: Understood, thank you. And then just regulatory uncertainty has been a topic discussed in many forums and just curious beyond this quarter and next quarter but just broadly when you look at your customer behavior you obviously have a lot of touch points with customers. In terms of regulatory uncertainty and decision making, could you just expand on that a little bit, I know you've talked about that that before but I just wanted to get your take in terms of about there is a lot of debate about degree to which customers are ready to pull the trigger on solar?
Lynn Jurich: Are you talking more from a customer demand standpoint, Stephen; is that your question?
Stephen Byrd: Yes just in terms of the lack of clarity in some states in terms of treatment of solar whether that filters into decision making if it's there, do you see a pause among some customers in terms of making decision because of concerns about how will be treated by the utility, by the regulator or is that subsiding somewhat?
Lynn Jurich: I think the question is less about how they are being treated by the regulator and more about how do you explain in clear terms what the savings proposition is. And so for the most part you don't see consumers saying hey I saw what happened in Nevada, will that happen here that's not a common occurrence. What is more common, what is hurting conversion and particularly in California right now is when a consumer wants to sign up but doesn't know at what rate, you can tell the rate you're offering to, it's a hard sell and frankly I think that's probably one of the reasons why the cash sale percentage has been up higher in California than lease systems, it just makes that when people see a rate, they want to know the rate to compare to. So I think in our history, so we've been doing this for it's our fifth public quarter but we've been operating the business for 40 quarters now. And so we've just seen these fluctuations when there is no certainty. But if you just look at a market like a New Jersey, like a California, you have periods of time where it's been flat for you; you have periods of time where it is down. But the underlying drivers that are going to deliver savings to consumers are still there and that is retail rates keep going up and our cost keep going down and that's why we're confident this 20% to 30% long-term growth rate of the industry, we don't think that's going anywhere.
Stephen Byrd: Great, thank you and I will let other folks ask, just one last question on storage, you mentioned that as well in your remarks. Just wanted to check in terms of where you see applicability is this something that's over what timeframe is this going to become significant. What kind of milestones in terms of improvements of economics or other milestones that we should be looking for, for storage to become more significant?
Lynn Jurich: Sure. So first of all today we are getting there in Hawaii. So where our BrightBox offering today to the consumer, we just want to talk about our last quarter, there is very strong demand there and that offering has zero upfront cost to homeowners and is cheaper right now and is not exporting the power to the grid at all. So and that is really the first market where just from a natural forces consumer saving standpoint that storage is working. I think you still have other markets that are more niche where people are just interested in it, from a novelty or technology concept but it's really that kind of at least residential to scale up application is really Hawaii right now to the extent time of use rates come into play, it will certainly be likely that it becomes a good value proposition in California, and that's another one of the reasons why we think some of the concerns around, oh is California saturated, is it only going to be power systems, I think we're just only at the very beginning of what of the development we're going to see in California and because of the time of use and because of the opportunity to add storage to the mix. And then, finally, I think the other thing the early trend we're seeing is that regulators are starting to ask utilities to first invest in DERs as opposed to infrastructure capacity. You're seeing that in California, you are seeing that in New York and that starts to be very interesting. So I think there is a lot of R&D effort that some of the larger players like ourselves are engaging and to figure out what are the business models of the future with storage, there is something most likely will emerge out of that. I also like to just point out from a big picture standpoint, the infrastructure investment we're about to make in the country is about a trillion dollars over the next 10 years and I really like our prospects of trying to find a profitable business model in that opportunity.
Operator: Thank you. Our next question comes from Brian Lee from Goldman Sachs. Your line is open.
Brian Lee: Hey everyone. Thanks for taking the questions. Just had a couple around the volume growth here for yourself and for the market given what seem to be as you alluded to some may be confusion, uncertainty, just lack of visibility and also on a delta between different players here. So may be for you first the recent share gains, can you give us some sense of how sustainable you think they are and then with the tougher solicited deal on the horizon, if you see any of their synergies or may be go-to-market shifts that potentially could happen and impact the competitive landscape going forward if you could may be comment on that to any degree? Thanks.
Lynn Jurich: Sure. Thanks, Brian. Absolutely, I think I point first to just the fact that where the penetration level is still 1% of homes and the macro drivers are still amazing and that's not going anywhere. A couple of things just on leading indicators that I can give you guys just things that we look at in, we have good insight into the market because remember we see our channel partners, we have our platform services business, so we have a distribution company, we have a racking company, we have a lead company, so we sell to the industry. So we have pretty good, good indicators about share and demand. And I think the anecdote I said in the script, I think is very relevant, if we just look at digital purchase for home people in California who are qualified, who have a home and a qualified for solar, it's up 40% year-over-year. And so I think when you see, there's a little bit that's conversion challenge right now because again people are waiting, they are a little more cautious to long-term, it's a long-term decision but that's a pretty strong indication that the demand is there. And then the other thing we're seeing is that when we look at the, as Bob mentioned, we did pair back some of our acquisition channels and things that were more expensive and convert as quickly in this market environment we're in. So when we look at the acquisition channels and the market that we really prioritize, our year-over-year growth rate in our direct business are well north of 30%. And so that's why it gives us confidence that this industry is 20% to 30% grower for us in particular and we're really pleased with the market share gains. I think the other thing on the market share gains we have seen in that I'm most proud of is that, I think we're taking those share gains in the higher PV market. So I really believe that again consistent with our strategy is we're driving towards NPV. So we're going to get our advantages in the higher PV market, we're going to take share there, that's going to drive more shareholder value and I think that hopefully backed up by the fact that our project values are far superior to that of our peers. So now we are taking share, but we are taking share in the markets where we probably take share in objectively. On the cash flow side, I think most importantly I think again I would like to say into this big picture really everybody about what drives long-term value and to have another ally in fighting for an individual right to produce power and have kept well as an ally is very powerful. So then helping to educate the market, then helping them the regulatory front they held a net metering rally recently that is going to be a huge advantage for Sunrun and our peer companies. And I think again retail energy is a $500 billion annual market, and it certainly doesn't want to take all. And so we like them to be in the education and helping us out. I think on solar and batteries that is definitely the future of the world, the future of the U.S. energy probably the world, and there's a ton of innovation happening at global scale in this area. And we really want to benefit from all that innovation that's happening, not necessarily like the risk and reward are being tied to a single technology. So we don't think you need to be vertically integrated to offer nice streamline product to a consumer we're already doing that in Hawaii with BrightBox. And so in short, I think we love having them in the market. We love another strong brand well capitalized company as we think it's terrific. And we like our prospects going head-to-head with them.
Brian Lee: Okay, great, thanks, I appreciate that color. May be just to drill down into it a bit more and put some quantification around it. If I if I take the midpoint of your guidance for the year the growth is de-rating to something like 15% year-on-year exiting 4Q, I know the back half of last year had some robust volume growth due to some of the factors you've talked about. But just I'm wondering how to think about the growth rates into 2017 given that implied run rate exiting the year and then with respect to your 20% to 30% growth rate commentary for the market is that the right level to think about for next year and would you anticipate you're above that level given the markets up 20% to 30% if that's the view for next year? Thanks.
Lynn Jurich: Thanks, Brian. Your math I believe is correct. I think a couple things. The first one is when you look at our back half growth rate in our direct business and installed its 60% year-over- year. So remember again we have the partner business in there. We don't manage it to a megawatt number; we manage it to a margin, a margin contribution. So that's important to know that that's underlying it. I should also say the 60% is pro forma for Nevada still. So you can see and if you recall there was strong performance in Nevada in the back half of the year. So I think if you that plus the factors I go back to my earlier comment on just gross bookings that the 30-plus-percent rate we're seeing in gross bookings in the channels and markets we're prioritizing. We think that gives us confidence in this long-term growth rate of 20% to 30%, but I think at this stage we're not making a comment on that 2017 growth rate percent.
Operator: Thank you. Our next question comes from Krish Sankar from Bank of America Merrill Lynch. Your line is open.
Krish Sankar: Yes hi, thanks for taking my question. I had a few of them, the first one either for Ed or Lynn the whole industry seeing a shift more towards cash sales or loans and away from leases. You guys seem to be not too concerned around it looks like your commentary has been really consistent from the last quarter, which is somewhere in the high teens the 20% of the mix exiting this year. I just want to find out where do you think that mixes could be either for Sunrun or the industry in general a couple of years from now. And what does it mean to the business model for residential solar companies and I had a follow-up.
Edward Fenster: So this is Ed, thanks for the question. We believe that the mix of leases and loans that we're experiencing, which was 16% in the quarter, but we said call it 15% to 20% depending on the quarter. We believe that is reflective of consumer preference. We think that to a certain extent the increase is being driven by companies seeking additional upfront cash not necessarily by consumer preference. So in that regard, we don't see it as a likely long-term trend. We certainly don't think it influences the business. It's certainly also the case that where we do sell a system with a loan that's profitable for us as well. As Bob underscored the gross margin in our cash sales business is approximately 20% that's also industry-leading, so we feel good about that. But pulling back we think that the consumer preference that we're seeing today should hold, and as I indicated earlier there are certain changes to the tax credit coming over the coming years that I think actually might push the needle significantly back towards these.
Lynn Jurich: Yes and I think that, I really do think that we sometimes see people writing, others low entry barriers are moving to loan and I just -- we believe that can be further from the trends and that's what we were trying to get across a bit in the script is that may be happening a little bit right now because people are contorting or maybe there is a little more capital available in that segment of the market but longer-term we fundamentally believe that sale is going to have, storage is going to have energy management, it's going to be actively managed, people we're going to be bringing scale solutions to the grid with our energy resources and so it will very much move more towards consolidation.
Krish Sankar: Got it, got it. That's very helpful. Then just two other quick follow-ups, on the cash sales on loan, are you seeing more with your partners or on the Sunrun built side or is that kind of equal across both spectrums. And the other thing is you guys mentioned the industry could grow 20% to 30%, I think last earnings call, you said you want -- you guys wanted it to grow 30% at least for the next 10 years. I'm just trying to figure out so does your group profile for Sunrun over the next few years include some amount of share gain in addition to the underlying market growth and if so is the share gain coming from many of the smaller installers or you guys getting it from the top five players out there? Thank you.
Lynn Jurich: Thanks, Krish. I believe that our -- I don't know, I don't have all of the insight into our channel partners loan versus cash mix. Although I suspect it looks very similar to ours because we have both products to offer. And just getting back to one of the things well one other is why we think it is a true reflection of demand there kind of 20:80 split is that we offer all of them. So we don't incentivize necessarily we don't have a quote on how many cash systems we can sell, so our sales people believe me we will find the thing that's easier for them to sell. And so because our channel partners have access to our financing I believe but their cash business, I would expect that the mix looks fairly similar. The other question on the growth rate, the growth -- the growth of our direct business, our growth in integrated business is outpacing the channel business, so that's where our market gains are coming from. So just again to hit on the stats on that, first half growth rate in our direct installed was a 160% year-over-year, back half is 60% again excluding Nevada in the back half of the year, so that is share gains and as I mentioned share gains in the most attractive market. So we're not here commenting on the 2017 growth rate for us relative to the market. I think what we're committed in is that the market does have the demand characteristics and the room to run at 20% to 30% for a very long period of time but as we've seen this year there can be fluctuations on quarter-to-quarter and even from year-to-year. So we just don't think about it on that short-term or the timeframe.
Operator: Thank you. Our next question comes from Colin Rusch from Oppenheimer. Your line is open.
Colin Rusch: Thanks so much. Can you talk a little bit about what's going on with the distribution business, obviously there has been some material changes in prices on equipment, how much do you think that impacted your gross margin in 2Q and what's your expectation for kind of elevated spreads in that business as we go through the back half of the year?
Lynn Jurich: Let me make sure I answer your question. I don’t think we believe there will be any material changes in the margin in that business. I think we the margins have held up fine in that business. So even though, even though panel prices have come down, they held reasonably well and so we believe that business has grown this year again underscoring that market does have growth, the broader market does have growth. So it's a nice steady business for us and it really helps us offset some of our costs in our own direct business.
Colin Rusch: Okay. And then if you look at your history of having a really disciplined approach to the technology that you include in your portfolio, how much do you think that's helping you at this point as you look at the back leverage and working through this a number of the financing options that you have for funding growth?
Lynn Jurich: This is a diversity of hardware of choice that we use is your question.
Colin Rusch: Yes and you could even extend that into the geographic mix.
Lynn Jurich: Yes, got it.
Bob Komin: Diversity is generally helpful provided that the companies you're diversifying to are strong. So it varies between panels and inverters in panel side it's a lot about upfront quality analysis at the same on the inverter side the credits strength of the company that we take into account. Right now we have a very diverse set of both panels and inverter manufacturers we're happy with that mix. And feel very bullish about the equipment, the equipment that we like, the equipment that we can get financed and the cost of all of that over the coming year.
Operator: Thank you. Our next question comes from Matt Tucker from KeyBanc Capital Markets. Your line is open.
Matthew Tucker: I wanted to circle back to the regulatory environment and you touched on it from the customer perspective, but could you just update us on how you feel the regulatory environment is trending overall as the debate over solar continues in several states?
Edward Fenster: Great question. I mean it's been a relatively calm year. We've seen recent expansions of net metering even in places like Berkshire Energy's home state. We've seen you know Maryland had full net metering for community solar and no major reduction in the course of the year. We’re obviously engaged actively in the current process in Arizona, but it's hard to predict anything there particularly before the elections in November. And generally speaking, I think regulators are appreciating with that the distributed resources are valuable that solar is something to encourage and that rooftop solar is very popular. We're hopeful that next year we'll soon we'll see grandfather income to Nevada. The commissioner in Nevada who oversaw the proceedings and ended net metering there is said the governor is not going to reappoint him, which also shows the political support for rooftop solar as well. So we obviously continue to work very carefully and cautiously on the policy front, but particularly before the start of next year we don't see very much is likely to occur and then obviously with the election if it goes the right way, we think there might be really significant upside, and if it goes the other way we just would dig it down state suite by Republican that we've seen it all the time. So I think that would be fine as well.
Matthew Tucker: Thanks Ed that was helpful. I guess following up on that, could you comment on NEM 2.0 and how you see that impacting you guys?
Lynn Jurich: Sure. Go ahead.
Edward Fenster: I think the modest changes to net metering in California continues to create more savings than in most places and back to off peak power rates in California are certain to be higher than the average rates in most states that we do business and we expect that if time of use rates are developed and put in to place in any significant way it will probably create an opportunity for storage both for new customers and probably existing customers. And so we're optimistic about that, as Lynn mentioned in this transition period well we don't know exactly what the rates are going to be. It's a little bit more challenging to explain to homeowners exactly what the savings potential is, but we're very confident there will be savings. We're working on and making good progress on how to explain that to customers and are excited for the day when the rate structures are finalized and we can rollout potentially new products as a result.
Matthew Tucker: Great thanks Ed, and then Lynn I think early in your prepared remarks you were commenting on kind of versatility of solar and alternative or innovative products and services that can be paired with solar, could you elaborate a little bit on that may be provide some specifics and any comment on any products or services that that Sunrun developing or offering are these more kind of third-party offerings that you do as complimentary to yours?
Lynn Jurich: Well, the first one that we're commercialized with is BrightBox of course which is battery plus a TV. I think, but I -- there's nothing that comment about that's going to yield some sort of financial result in the very near-term. But what's exciting about it is really all the R&D efforts that are going on, and the fact that regulators are increasingly saying wow, there is a cost benefit, there is a benefit here to tapping DER before investing in infrastructure. And so you are increasingly I think seeing them ask the utilities to do that, and so there are a number of pilots that are happening that you have seen out there. We personally don't have anything publicly announced, but there are a number of pilots that are happening out there that I believe are going to uncover new revenue model and help encourage an accelerated adoption of the DER's and frankly that'll be nice because it also de-risk the business from a regulatory standpoint, as we start to get revenue streams that are complimentary to the utility or more mandated at the regulatory side. So nothing that you're going to see really short-term in our financials outside of the BrightBox offering that we have, but really encouraging that that's really that's happening.
Operator: Thank you. Our next question comes from Vishal Shah from Deutsche Bank. Your line is open.
Vishal Shah : Yes, hi thanks for taking my question. Lynn I just wanted to clarify your guidance the revised guidance what percentage of megawatts in the guidance come from the channel business versus so developed. And how would the mix shift, because I remember last quarter you kind of mentioned that you expected California market to pick out I think consumers are taking a pause and it looks like the NEM 2.0 is impacting decision making process. So are you seeing a stronger growth in other markets which offsetting the slowdown in California?
Lynn Jurich: I think I got both there. The California growth and channel versus direct mix, and so on the channel versus direct mix we're not breaking it out. And I think Bob have been comment when in his section that said it kind of fluctuates a bit we still think it decreases as a percentage. I shared with you the direct growth rate on the back half of the year at 60% so year-every-year X amount as I think you can probably get close to it, but we just aren't going to break that out going forward, because that's not how we manage the business.
Vishal Shah: Is it fair to say that your channel business is growing a little faster than you previously expected at the beginning of the year?
Lynn Jurich: More than that, yes that's fair but not faster than the direct business, no.
Vishal Shah: Yes of course.
Lynn Jurich: And then in terms of what the California growth rate versus the other market, I think we're not going to get that level of granular, I think the California growth rate, I did highlight that year-over-year 40% number of just interested homeowners and not California piece of the business, I'm not seeing or not hugely far off what we're seeing in our business.
Vishal Shah: But again I mean is it fair to say that some of the other markets are growing a bit faster than you were expecting which is sort of offsetting some of the weakness that you're continuing to see in California?
Lynn Jurich: I think we're just not going to get into the market-by-market growth details, I think if you look at, you kind of pull that from GTM where the markets are at.
Vishal Shah: Okay. Sounds good, then. The other question is if you sort of look at the cost specifically with the creation cost curve, it looks like there is still the potential beyond a lower QR number and if you look at competitors are starting to raise prices, you can sort of assume that as this trend continues even in 2017, so what kind of NPV target should we sort of be thinking about for 2017 and assuming that your profitability will continue to improve from the second half level in 2017?
Lynn Jurich: Well you're asking for a forward-looking NPV guidance. I think a dollar a watt for the back half of the year is our target and that's our target. And then going forward, we are going to continue to make judgment, some markets are going to be above that, some of the mature markets where we have scaled operations and we may enter new markets where there is a ramp time. So it's too early to call what the overall number is but we have -- given the way we think about this business as we look at every acquisition channel, every market we have an NPV target and currently in this market in particular, all of those need to be on a path to near-term, cash flow positive which would imply that NPV number somewhere around dollar at our current pricing level. So too early to call exactly what the market looks like next year how much market expansion we're doing but as a dollar or more in the back half is what we are expecting.
Operator: Thank you. Our next question comes from Sophie Karp from Guggenheim Securities. Your line is open.
Sophie Karp: Hello good afternoon and thank you for taking my questions. I wanted to touch based on the storage projections that you guys discussed in the comments that you made that you're about to raise tax equity fund for storage rollout in places like Hawaii, do you expect comparable IRRs for investors in tax equity funds that are back in storage versus your conventional products and do you expect in your press release you with respect to your ability to raise funds for this new product?
Edward Fenster: Great question. We are -- we have support in our existing closed funds for storage and the cost of capital against our products that includes storage is no different than those that don't have storage. So it's really just demonstrating safety and long-term performance through independent study which we have done and so we're comfortable with the run rate that we have on the project finance side for storage.
Lynn Jurich: Yes and I would just add in terms of the projections on the megawatt and the financial projections we provided today that you would not include anything material from storage though.
Sophie Karp: Thank you. And to circle back to regulatory climate in places like California how do consumer -- how consumers reacting to comments that are made by some CTC members or I think presently that was quoted in the press saying that people cannot expect rate to stay constant; is this causing any sort of longer-term morale crisis among consumers or people are generally not paying attention to that?
Edward Fenster: I think -- I think the article you're referring to, there was an article with one anecdote from someone who probably wasn't even correctly describing their savings. So I wouldn't read too much into that and I also don't think that those comments are even probably seen by homeowners. But the reality is the long-term trend of energy rates are clearly up, it is clearly up in California that's intuitive to everybody. Sure there will be some variation from quarter or year-to-year or rate structures but when you are able to save 20% or more you're very comfortable and customers can be comfortable. I think they just want to understand what the new framework is and until that we are explaining to them look there is some variation here but even if it doesn't go the way we think, it's going to be very attractive probably almost 20% savings anyway. So we feel good about that and I don't expect that is influencing consumer behavior.
Operator: Thank you. And our next question comes from Julien Dumoulin-Smith from UBS. Your line is open.
Julien Dumoulin-Smith: So just to follow-up a little bit more and I don't mean to dig too much on California but can you describe a little bit about the trend with respect to NEM 2.0 as you kind of hit it by specific utility service territory and I'm digging even further here but -- I mean just broadly
Edward Fenster: We will email you an article about then if you like.
Julien Dumoulin-Smith: Fair enough, I will let that one lie then. But if we can then with respect to Arizona fixed rates versus demand charges, obviously it seems to be getting some more attention in the state, how are you thinking them out that and any potential acceleration or ahead of a change in NEM tariffs in 2017, are you seeing that take place now given the fact the rate cases are filed and pending? May be again specific trends but also talk about that fixed versus variable or fixed versus demand charge?
Edward Fenster: Sure. So the demand nationwide, sorry the trend nationwide has definitely been the demand charges are being rejected. We have seen numerous proposals for demand charges and they have been universally rejected it's understood by most regulators that homeowners don't even understand them wouldn't even know how to alter their behavior and honestly it's unclear even provide correlated compensation to the grid. I think we're probably seeing that -- we also understood in Arizona, the final stages of the initial UNF rate case are probably occurring as we're having this conversation. So we're monitoring it carefully. But it would surprise me anything is possible but it would surprise me if we see demand charges and it would absolutely surprise me if we see it as a trend. In terms of whether or not they are pull forward in Arizona demand that isn't my understanding Arizona public service is kind of the only major utility that we operate in Arizona even if there would be changes to rate structures in that service territory, they wouldn't occur until July of next year, so I think that's probably a sort of premature consideration.
Julien Dumoulin-Smith: Got it. Okay great and then just perhaps going back to another debate that was taking place in the call around the merits of kind of the cash and loan side of the business and the 20% margins you were kind of talking about earlier, why not emphasize that more and tax more of the business in that direction given sort of the positive cash margins decided trend towards cash flow positive et cetera?
Lynn Jurich: One point I do want to clarify to is that 20% gross margin in that segment includes both the cash and the distribution business. So I just want to make that clear. Well but the reason is because we're consumer first, that's what is going to serve us well. I mean the people who give their consumers the greatest value deliver the best experience are reaping some long-term winners and we believe that in our leasing business are pretty in terms of just our ability to target the more attractive markets do well there and receive the amount of proceed level we do. We think that can be cash flow positive. So we're going to continue to we're not capital structure constrained in terms of which products we offer, so we're going to let the market decide.
Operator: Thank you. And I'm showing no further questions from our phone lines. I would now like to turn the conference back over to Lynn Jurich for any closing remarks.
Lynn Jurich: I think that's it. Great questions guys as usual and we look forward to speaking with you all again soon.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a wonderful day.